Operator: Greetings, and welcome to the F&G Annuities and Life Fourth Quarter and Full Year 2022 Earnings Conference Call [Operator Instructions]. As a reminder, this conference has been recorded.  It is now my pleasure to introduce your host, Lisa Foxworthy-Parker, Senior President, Investor Relations and External Relations. Thank you. You may begin.
Lisa Foxworthy-Parker: Great. Thanks operator and welcome, everyone, to F&G's Fourth Quarter and Full Year 2022 Earnings Call. Joining me today are Chris Blunt, Chief Executive Officer; and Wendy Young, Chief Financial Officer. We look forward to addressing your questions following our prepared remarks. Today's earnings call may include forward-looking statements and projections under the Private Securities Litigation Reform Act, which do not guarantee future events or performance. We do not undertake any duty to revise or update such statements to reflect new information, subsequent events or changes in strategy. Please refer to our most recent SEC filings for a discussion of the factors that could cause actual results to differ materially from those expressed or implied. This morning's discussion also includes non-GAAP financial measures that we believe may be meaningful to investors. Non-GAAP measures have been reconciled to GAAP where required in accordance with SEC rules within our earnings release, financial supplement and investor presentation, all of which are available on the company's website. Today's call is being recorded and will be available for webcast replay at fglife.com. It will also be available through telephone replay beginning today at 1:00 PM. Eastern Time through March 9, 2023. And now I'll turn the call over to our CEO, Chris Blunt.
Chris Blunt: Good morning and thanks for joining us today. We're proud to have reached a milestone in the quarter by becoming a publicly listed company. I'd like to start by thanking our team, our parent Fidelity National Financial and our partners for all of their contributions to achieve F&G's December 1 listing on the New York Stock Exchange. For those new to our story, the purpose of this public listing is to provide for a sum of the parts valuation. That is to provide recognition of F&G's value creation as a stand-alone public company and in turn, to unlock the value of the 85% majority ownership in F&G held by our parent FNF. We view this as a win-win for F&G. It allows investors to invest directly in F&G and creates new optionality for F&G, as we gain access to the public markets over time, while continuing to benefit from FNF's majority ownership. FNF use this as a competitive advantage as F&G's primarily spread-based business provides a steady and growing source of earnings that will benefit FNF over time as well as a countercyclical business model to their title business. I could not be more pleased with our overall results in this inaugural quarter following F&G's transition back to a public company. F&G is well positioned for growth through its multichannel new business platform. And our entire team is working hard every day to create long-term shareholder value. Turning to our results. F&G reported total gross sales of $2.7 billion fourth quarter, a 23% increase over the prior year quarter. On a full year basis, F&G reported record gross sales of $11.3 billion in 2022, an 18% increase over full year 2021, boosting our ending assets under management to nearly $44 billion as of December 31. The continued growth has us well ahead of our goal of doubling assets under management to $50 billion over 5 years as outlined at the time of our acquisition by FNF in 2020. We are on target to achieve that goal this year. Our retail channels reported record gross sales of $2.5 billion in the fourth quarter, a 79% increase over the prior year quarter. On a full year basis, our retail channels reported record gross sales of $8.5 billion, a 37% increase over the full year 2021. We saw growth across all 3 retail channels, including agent, bank and broker-dealer channels, which was driven by increased demand for our products in the rising rate environment, expanding relationships with new and existing distribution partners, traction from a comprehensive product portfolio that meets a broad range of consumer needs and backed by strong customer satisfaction levels as F&G was ranked #2 by J.D. Power among individual annuity providers in 2022. We are well positioned for continued profitable growth in our retail channels and excited about several initiatives that are underway. In our bank and broker-dealer channels, we are a leading carrier with our top partners and have a growing product and partner footprint with nearly 20 partners at year-end. In our agent channel, we are committed to our deep long-tenured partners as a leading provider of annuity and life insurance solutions. We are also pursuing a strategy to expand our owned life insurance distribution while boosting our presence in underserved multicultural and middle-market segments. We were pleased to announce a 49% equity investment in a leading independent agent, life insurance distribution partner, SYNCIS, last month, which aligns to our diversified growth strategy and is accretive to our shareholders. This builds on our 30% equity investment in Freedom Equity Group, 1 of F&G's top independent agent life distribution partners, which closed in late 2021. Next, turning to institutional markets, where we have achieved cumulative sales of $6.3 billion since launch in mid-2021, providing meaningful diversification and scale. These cumulative sales include $2.5 billion in pension risk transfer with 11 transactions completed, ranging from $65 million to $500 million in size and over 47,000 covered lives, $2.6 billion of funding agreement backed note issuances under our $5 billion shelf registration and $1.2 billion of federal home loan bank funding agreements. For the fourth quarter, institutional sales included approximately $250 million of pension risk transfer. For the full year, we reported $2.8 billion of institutional sales in 2022, split evenly between pension risk transfer and funding agreements and in line with our expected $2 billion to $4 billion annual sales run rate dependent on appetite and market conditions. F&G's total net sales retained were $1.9 billion in the fourth quarter and $9 billion for the full year, a 7% decrease and a 3% increase over fourth quarter and full year 2021, respectively. This reflects the increase of MYGA flow reinsurance from 50% to 75% with Aspida Re effective September 1. As a reminder, we utilize flow reinsurance, which provides a lower capital requirement on ceded new business, while allocating capital to the highest returning retained business. From our perspective, this is a smart financial decision as it enhances cash flow, provides fee-based earnings and is accretive to F&G's returns. Assets under management for the quarter totaled nearly $44 billion at December 31, reflecting a $7 billion or 19% increase over the prior year quarter, driven primarily by new business growth, and stable in-force retention. Our high-quality investment portfolio is performing very well, and our strategic investment management partnership with Blackstone remains a differentiated competitive advantage for F&G. Our portfolio is diversified and well positioned to withstand uncertainty in the macro environment and well matched to our clean and stable liability profile. Fixed income yield, excluding alternative investment volatility and variable investment income, has expanded to 4.27% for the fourth quarter as compared to 3.75% in the fourth quarter of 2021. This primarily reflects upside from the 18% of our portfolio held in floating rate assets and higher yields on new investments. Our targeted allocation to alternative assets remains approximately 5%. Since the FNF merger in June of 2020, F&G's alternative investment portfolio has returned 12% on average and returns have been less volatile than the S&P 500 Index. Our financial results for 2022 demonstrate the underlying earnings power of the F&G business model, where profitable asset growth drives earnings, and we benefit from a rising rate environment. F&G's growth is underpinned by a strong balance sheet, ample sources of liquidity and financial flexibility to optimize returns. Our management team is seasoned and has experience throughout various economic cycles. And we've reached an inflection point of scale where our strong capitalization supports both organic growth and the distribution of a portion of our adjusted net earnings to shareholders over time. Overall, 2022 was another breakout year for F&G. We continue to execute on our diversified growth strategy, win in our target markets and position ourselves for the future as a public company. Looking ahead, we're in a great position to further grow the company and deliver value to our shareholders. As part of this, we see many opportunities to expand our profitability in addition to growing our assets under management. For 2023, we expect to generate double-digit growth in total gross sales. To recap, we have strong momentum as we head into 2023 with many opportunities ahead of us to further expand our business, which will ultimately drive margin expansion and improved returns. We're also focused on unlocking the inherent value in our business, as we focus on delivering value to our shareholders. We look forward to updating you on our progress and execution through the balance of the year. Let me now turn the call over to Wendy Young to provide further details on F&G's fourth quarter highlights, strong balance sheet and financial flexibility.
Wendy Young: Thanks, Chris. Today, I'll provide more details about our financial results and key performance metrics, perspective on the new LDTI accounting standard and capital, liquidity and leverage position. Overall, F&G's financial performance in the fourth quarter was strong and builds on our proven track record. We have strong capitalization and financial flexibility to successfully execute our growth strategy. Starting with adjusted net earnings. For the fourth quarter, we reported adjusted net earnings of $138 million or $1.10 per share. This included a $34 million recognized gain from alternative investments, a $58 million onetime tax benefit from carryback of capital losses, $12 million from actuarial assumption updates and other income items. The alternative investments' net investment income based on management's long-term expected return of approximately 10% was $91 million. For full year 2022, we reported adjusted net earnings of $345 million or $3 per share. This included a $100 million recognized gain from alternative investments, $49 million income from actuarial assumption and reserve updates, $21 million of CLO redemption gains and other income, $20 million of net income tax benefits and $5 million of other expenses. The alternative investments' net investment income based on management's long-term expected return of approximately 10% was $265 million. I'll note that on a net income basis, we had a $100 million loss in the quarter prior to non-GAAP adjustments, largely driven by mark-to-market movement and economic assumption review update, reflecting current macroeconomic conditions. Despite short-term volatility reflected in our quarterly results, F&G continues to generate consistent economics over time. Since the merger with FNF over 2 years ago, F&G has far exceeded our original expectation for growth and delivered approximately $1.1 billion of adjusted net earnings over the last 10 quarters on a cumulative basis. Our adjusted return on assets continues to trend over time above our target of 100 basis points, while even having moderated net retained sales. Further details are provided in our earnings release and quarterly financial supplements as well as our investor presentation available on our website. Next, as we look forward to 2023, the new accounting standard for long-duration targeted improvements or LDTI becomes effective and is geared to fair value certain long-dated liabilities. Overall, we view the adoption of LDTI as an insignificant to our total book value, given our mix of business, prudent liability assumptions and recent purchase accounting associated with the FNF acquisition, which marked our assets and liabilities to fair value as of June 1, 2020, merger date. Also, as a reminder, 6 indexed annuity based reserves are already at fair value and not impacted by LDTI. Our estimate of the January 1, 2021 transition impact remains in line with our previous disclosed range. We are expecting an increase to GAAP shareholders' equity by up to $200 million reflecting the net after-tax effect of the new LDTI measurement drivers offset by the removal of shadow accounting for actuarial intangible balances. As of December 31, 2022, we expect the LDTI impact in relation to the current market conditions to support a favorable impact to total shareholders' equity at or greater than the transition impact, although subject to our ongoing implementation process. Of course, the ultimate impact upon adoption of LDTI on January 1, 2023, may differ materially from our estimates based on the performance of the company's business during 2022 and macroeconomic conditions, including changes in interest rates. We look forward to providing further details with the first quarter of 2023 results, which will include recasted results on the new LDTI basis. There will likely be timing differences when sources of actual earnings emerge. Although from an economic perspective, the underlying product profitability is unchanged. As a reminder, this is a U.S. GAAP accounting standard only with no impact to statutory results, insurance company cash flows or regulatory capital. Turning to our balance sheet, our capital, liquidity and leverage position is strong. We ended the quarter with a GAAP book value, excluding AOCI, of $4.6 billion or $36.66 per share, with 126 million common shares outstanding as of December 31, 2022. Our underlying business fundamentals delivered solid growth in GAAP book value, excluding AOCI, of 7% year-over-year before capital actions and noneconomic mark-to-market movements. There is a page in our investor presentation detailing this analysis of book value per share. As just mentioned, our GAAP shareholders' equity will be restated for adoption of LDTI, accounting standard in the first quarter of 2023. Our strong capitalization supports growth and distributable cash. Our Board of Directors has approved the initiation of a dividend program at an initial aggregate amount of approximately $100 million per year. This translates into a dividend yield of approximately 3.6% based on F&G's recent market capitalization of approximately $2.7 billion and demonstrates the underlying strength in our business as well as our commitment to creating value for our shareholders. We paid our first public company quarterly dividend in January 2023 in the amount of $0.20 per share of common stocks or $25 million. Going forward, starting next quarter, we expect to announce the record date and payment date for each dividend, subject to Board of Director approval, following completion of the relevant fiscal quarter and with payment in the third month of each subsequent quarter. Next, turning to leverage. F&G's debt-to-capitalization ratio, excluding AOCI, was 19% as of December 31, including $550 million proceeds from a new senior unsecured third-party revolving credit facility that closed in the fourth quarter. We are pleased to also successfully complete our first debt issuance as a public company on January 13, 2023, issuing $500 million of 7.4% senior unsecured notes due in 2028. This senior note issuance as well as a $35 million partial pay down on the revolving credit facility in January are not reflected in our capital position as of December 31. Based on current debt outstanding, our pro forma debt to capitalization ratio, excluding AOCI, is in line with our long-term target of 25% and our annual interest expense on debt outstanding is approximately $95 million. We intend to use the net proceeds from the revolver and senior note issuance to support the growth of the business and for future liquidity needs. On February 21, 2023, we have executed an amendment to increase the revolving credit facility from [indiscernible] million to $665 million, although the additional capacity remains undrawn. F&G received strong support from its bank group and the additional undrawn revolver availability provides us with more financial flexibility to execute our growth plan and capital deployment strategy as we work to enhance return for shareholders. Now moving on to our statutory capital position. We came into 2022 with a strong balance sheet, which allowed us to effectively weather a period of significant market volatility, while growing the business. As expected, we ended the year with a strong and stable capital position, having an estimated company action level risk-based capital or RBC ratio of approximately 440% for our primary operating subsidiary, providing a buffer well above our 400% target. For full year 2022, we had positive capital generation from our in-force book and successfully executed on our planned reinsurance and debt capacity initiatives to support growth of the business. To wrap up, F&G is well positioned to fund its continued growth with positive and growing in-force capital generation, ample opportunity for future reinsurance programs and available debt capacity as our balance sheet delevers with book value growth over time. On the ratings front, we are pleased that A.M. Best has revised our outlook to positive from stable in December and we continue on a positive outlook with Moody's. This reflects the focus that we have placed on our interactions with the rating agencies as well as our proven track record, balance sheet strength, financial transparency and commitment to achieving upgrades over time. With that, I will now hand back to Chris to provide some final comments before we head into Q&A.
Chris Blunt: Thanks, Wendy. We're excited about our current opportunities and well positioned to execute on our growth strategy. We expect to continue growing, albeit at a moderated pace compared to recent record levels and to expand our business with a focus on further improving our profitability, which we believe over time will drive multiple expansion to deliver value to shareholders. I look forward to providing further details on our first quarter earnings call. This concludes our prepared remarks, and let me now turn the call back to our operator for questions.
Operator: Thank you. We will now be conducting a question-and-answer session [Operator Instructions]. Our first question comes from the line of Andrew Kligerman with Credit Suisse.
Andrew Kligerman: First question is around cost of funds. It came in at about 2.38% in the quarter. Last quarter, it was 2.35% and year-over-year, it was 2.83%. Could you talk about the drivers -- especially in a higher interest rate environment than a year ago, could you talk about the drivers of what's keeping it down and where we should expect it to migrate over the course of the year?
Chris Blunt: Wendy do you want to start, and I'll jump in?
Wendy Young: Basically, being a spread business, even though interest rates are up, we're able to purchase the exact option that we need to credit whatever the policyholders are requesting in their policy. So we don't view that number as fluctuating a whole lot. It might with depending on the volatility, but it stays pretty range bound. So I don't expect that just because interest rates are going up that our option cost on the FIA business are going to increase substantially, which is the main driver in that bucket.
Andrew Kligerman: So FIA option costs will kind of keep it there unless volatility kind of spikes out or something, got you. Then with regard to the revolving credit, I think, [$552 million] in the year. What's the thinking behind utilizing that as opposed to long-term debt?
Chris Blunt: Andrew, this is Chris -- go ahead, Wendy…
Wendy Young: So great question. At the end of the year, I wanted to make sure that we were starting the year with capital to grow the business. The debt markets were not that favorable towards the end of the year. And as you know, we were able to raise debt at the beginning of the year, but I wanted to have a revolver as a stand-alone company to begin with, and it was just optimized to be able to start the year with growth capital. And we're planning on to go back during the year, but it just depends on the debt market and availability. And we'll pay down the revolver if we're successful later in the year with raising debt.
Andrew Kligerman: And Wendy, the cost of those funds currently are at what yield?
Wendy Young: The blended rate is around [Indiscernible] between the two.
Andrew Kligerman: And then if I could just sneak one last one and that will be it. Just -- you're doing some exciting stuff around acquiring distribution. Can you talk about how your distribution partners are viewing that? Are they seeing that as a conflict? And how are carriers viewing your distributors that you're acquiring?
Chris Blunt: So Andrew, yes, it's just a space that we've always loved. It's a source of strength traditionally for F&G, particularly on the life side. These are organizations that we've worked with for decades. And so a number of them are growing so quickly. They need capital and their choices effectively are private equity. Private equity has been gobbling up a number of these firms. But many of them don't want to go that route, either looking for a more permanent partnership as opposed to more time-bound, fund investment in their company. And so in a lot of cases, folks have approached us and said, "Hey, we need capital to grow. You guys are strategic partners, is something you would be interested in." So for us, we just view it as 1, further strengthening our relationship with firms we've known for a long time. But more importantly, it's a source of earnings that doesn't have big capital intensity going forward. So we love the space so far. It's really been in the life area, and these are middle market, predominantly cultural market-focused organization. So yes, that's just the space that we love. And if there's an opportunity to do more of that we would do it. We haven't gotten pushed back because, again, a number of our -- from our other distribution partners because they all see the same dynamic that is happening right now. Firms are getting larger, firms are starting to consolidate. So I think they look at it and view it positively.
Operator: Our next question comes from the line of A.J. Hayes with Stephens.
A.J. Hayes: Based on past commentary, it appears your index universal life products continue to exceed expectations. Just wanted to see if we could get some color on what's driving the strength and then how you think '23 may stack up in comparison to the strong year you saw in '22?
Chris Blunt: Yes, as I said before, it's a great tie-in to the prior commentary. It's really driven by the same thing. So one, just huge appetite amongst the middle market, and particularly the cultural markets of the U.S. for life insurance. This is where young family formation is taking place. I said to folks that it feels like the life insurance business of the 1960s in the United States. And so that is really what's driving it for us as well as some select brokerage relationships where we've known folks for a long time. But yes, I think when I first joined 4 years ago, we were doing like $28 million of recurring premium, and we're at a $130 million of recurring premium now in that business. So yes, we like it a ton, and so it is all related. It's a strengthening of distribution relationships. We happen to play in the middle market. A number of our peers play in the affluent market, and that's a space we like in terms of the profit footprint and the growth opportunity. So I think we're up to #3 in policies -- in IUL policies. So it's a dominant business for us. It's still small relative to the annuity business. But yes, it's grown at a break back clip, and we would expect that to continue for some time.
A.J. Hayes: And then, Chris, in your prepared remarks, I believe, if I'm not mistaken, that you had said total institutional sales, it fell within your goal of about $2 billion to $4 billion annually. If I'm not mistaken there, from what I remember, this was -- this $2 billion to $4 billion goal was just for PRT, but is that how we should think about it going forward as in total institutional sales should fall roughly within that $2 billion to $4 billion annually?
Chris Blunt: I think that is a total number. And the reason there's such a wide band. PRT is a market that we just love. And so yes, our goal is -- our expectation is that we'd be growing that every single year. We like how we're positioned. We like how we've been received by both intermediaries and plan sponsors. We had a really great team. And so that, to us, along with FIA and the retail is just a core product that we expect to grow every single year. And if not, we would be disappointed. The other part of institutional though is the funding agreement back note market, and we love that as well. It's a great source of premiums and therefore, spread. It's just a lot lumpier and opportunistic. So this year, would just happened to be a challenging year, 1, because of where rates and spreads were bouncing around, but also we were an active issuer in the market raising debt and that can create some competition. So yes, if rate environment calms down a little bit, you should expect us to try to jump back in with some FABNs. It's just a little harder for us to predict. And then again, we have so many growth opportunities right now. We're always looking to maximize return on capital. So again, I think of half of institutional is recurring business we want to just go after constantly and some of it is a little more opportunistic issuance.
Operator: [Operator Instructions] Our next question comes from the line of Mark Hughes with Truist.
Mark Hughes: Can you talk about the surrenders, if I'm looking at them properly, maybe up a little bit. I think we might have seen that with some of your competitors, but how are you looking at that number?
Wendy Young: Mark, it's not outside a range of expectation. It's up a little bit from the September quarter. But again, it's within our expectation. Half of the lenders for the quarter were just normal MYGA runoff. So MYGA's that we've issued 5, 7 years ago maturing, so not out of our expectations. And just a reminder, 90% of our block is surrender charge protected and a majority of it has MBA coverage. And so our surrender charges were actually up on the higher surrenders because of the MBA that you saw a little bit of increase in that surrender charge fee.
Mark Hughes: How about the PRT market? I don't know if you mentioned that, but are you seeing any kind of pipeline there. It seems like pension funding is pretty good these days, but interest rates may or may not help. How are you seeing that pipeline?
Chris Blunt: That pipeline is great, I'm sure, for us and for competitors as well. So hit on the head, if you went back, I don't know, 5 years ago, I think average funding ratios were in the 80% and now it's over 100%. And so yes, I think that's a great market. The timing is good, and we're quite optimistic on it.
Mark Hughes: On the FIA sales, mixing properly the up about 29%. How do you feel like you're positioned in that market? Is that going to be a good growth market here in 2023?
Chris Blunt: Yes, it should be. And for all the reasons that we talk about, 1, the rate environment is actually constructive here, meaning option budgets are higher when there's just more crediting to play around with. So that's a positive. And then the volatility that we've seen in the markets. Just people are much more open to the idea of giving up a little upside for some downside protection. So we think opportunities there are great. Our business through our core independent agents continues to be really strong. Our relationships there are really good. And then again, we've added a number of bank and broker-dealer partners. We'll typically add 5 or 6 new relationships per year. So we would expect same-store sales growth, if you will, but we're adding stores as well. So yes, that's a market we're still quite excited about.
Mark Hughes: Wendy, did you say -- did you repeat this point I think you all have made previously about a 1% return on assets. It's kind of a net return as being a pretty good bogey. Is that still the case?
Wendy Young: Yes, it's still a bogey. But as you've seen in the last 10 quarters, we've been increasing that. And as we diversify our earnings, you'll see that uptick a little bit. And then with 15% of our portfolio in floaters, we saw great expansion. In the QFS, there's a page that shows the quarter-over-quarter for '22, the expansion that we got from the floaters. So even though that's our target, you should see that expand in '23.
Chris Blunt: And the only thing I'd add to that is in a little bit of expense scale here, too. We've doubled our assets in just about 3 years and while we don't have a ton of fixed expenses, we do have some. So there's some margin upside from that as well.
Operator: We have reached the end of the question-and-answer session. Ms. Foxworthy-Parker, I'd now like to turn the floor back over to you for closing comments.
Lisa Foxworthy-Parker: Thanks for joining us this morning. If you have any questions regarding our results or anything discussed on today's call, please feel free to contact us. We appreciate your interest in F&G and look forward to updating you on our first quarter earnings call. Thank you.
Operator: Ladies and gentlemen, this does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.